Operator: Hello, and welcome to the Excelerate Energy Fourth Quarter and Full Year 2025 Earnings Conference Call. My name is Alex, and I'll be coordinating today's call. [Operator Instructions] I'll now hand it over to Craig Hicks to begin. Please go ahead.
Craig Hicks: Good morning, and thank you for joining Excelerate Energy's Fourth Quarter and Full Year 2025 Earnings Call. Joining me today are Steven Kobos, President and CEO; and Dana Armstrong, Chief Financial Officer. Also joining the call are Oliver Simpson, Chief Commercial Officer; and David Liner, Chief Operating Officer. Our fourth quarter and full year 2025 earnings press release and presentation were published yesterday afternoon and are available on our website at ir.excelerateenergy.com. Before we begin, please note that today's discussion will include forward-looking statements, which involve risks and uncertainties that may cause actual results to differ materially. We undertake no obligation to update these statements. We will also reference certain non-GAAP financial measures. Reconciliations to the most directly comparable GAAP measures can be found at the back of the presentation. With that, it is my pleasure to pass the call over to Steven Kobos.
Steven Kobos: Thank you, Craig, and good morning, everyone. Thank you for joining us today. Whether you followed Excelerate Energy for many years or you are new to the story, I want to start by grounding us in who we are and what differentiates our business. At Excelerate, we operate a global LNG and power infrastructure platform. We help countries enhance their energy security by increasing access to global LNG markets. We do this by providing safe and reliable downstream energy infrastructure, particularly in markets where traditional onshore development is impractical or would take too long to deploy. Our business is built around critical assets, long-term contracts and dependable operating performance. That foundation has allowed us to operate through market cycles and deliver consistent results. Turning to 2025. It was a strong year of execution for Excelerate Energy. For the full year, we delivered record adjusted EBITDA of $449 million. This is an increase of about $100 million over the prior year. That performance reflects the contribution from the Jamaica acquisition, continued growth in our other LNG, gas and power activities, along with reduced year-over-year operating expenses. Operationally, we performed exceptionally well. Enterprise-wide reliability exceeded 99.9% for the year, our strongest performance to date. And remember, reliability isn't just an operational measure, it's a financial one. Consistent, reliable performance generates stable, predictable cash flow. We also ended the year with a strong balance sheet, significant liquidity and low leverage. That financial position allows us to enter 2026 from a position of strength. Today, we are introducing full year 2026 adjusted EBITDA guidance of $515 million to $545 million. At the midpoint, this is over an $80 million increase over our full year 2025 results. Our '26 outlook is grounded in assets and contracts that are already operating or moving through execution. This provides a solid and visible foundation for the year ahead. Looking more broadly, global LNG supply is going to increase materially through the end of the decade. As that supply comes to market, we expect demand for LNG regasification infrastructure to grow, particularly across the global South. Many of these markets are seeking reliable, scalable solutions to enhance energy security and reduce dependence on dirtier fuels. At the same time, power demand continues to rise. Population growth, industrial development and expanding digital infrastructure, including AI data centers are placing new demands on energy systems. These dynamics reinforce the need for reliable LNG and power infrastructure, and they align well with the capabilities of our asset portfolio. Turning to Iraq. This remains a strategically important project for Excelerate. For Iraq, the project is mission-critical. It provides a reliable source of nat gas to help with an existing deficit to support growing power generation needs and strengthen the country's energy security by reducing exposure to regional supply disruptions. Construction of Hull 3407, our newest best-in-class FSRU is progressing well. The vessel has completed sea trials and is advancing through final commissioning activities. These include gas trials and cryogenic testing ahead of delivery in early second quarter. In parallel, site mobilization and early construction activities for the integrated LNG import terminal at the Port [ of Vlorë ] are underway. Engineering and procurement activities are progressing. Long lead items have been ordered, and we have executed the lease for the existing Jetty. As the project has advanced into detailed engineering, we refined the structural design of the jetty to ensure it can support safe long-term terminal operations. These refinements required additional scope, including structural reinforcement, which has resulted in higher estimated construction capital. As the project moves forward, we are gaining better visibility and are refining our financial assumptions based on scope and commercial terms. Total estimated capital cost for the Iraq terminal is now expected to range between $520 million and $550 million, inclusive of the cost of the FSRU. The all-in cost of the vessel remains roughly $370 million with about $220 million remaining to be paid for the vessel in the second quarter of this year. From an economic perspective, while total CapEx estimates have increased, we are now expecting annual terminal operating costs to be considerably lower. The Iraq project is expected to achieve an EBITDA build multiple of approximately 5x. This is in line with the economics we outlined on our November earnings call at the minimum contracted offtake of 250 million standard cubic feet per day. Under the contract, deliveries can scale up to 500 million standard cubic feet per day, providing meaningful upside potential. The integrated Iraq terminal remains on track to commence operations in the third quarter of '26. Now I'll turn to Jamaica. In '25, our Jamaica LNG to power platform performed exceptionally well. It delivered safe and reliable energy supply to the country and provided us with stable contracted cash flows. It also demonstrated exceptional resilience during Hurricane Melissa, one of the all-time most powerful hurricanes with minimal operational and financial impacts during the fourth quarter. Hurricane Melissa highlighted the benefits of LNG and floating regasification infrastructure and bolstering the energy security of Jamaica and potentially for other islands throughout the Caribbean. Following the acquisition, our focus has been on integration, operational excellence and maintaining high levels of reliability. We are proud to announce that full integration of the Jamaica platform was completed successfully in Q4. With the integration complete, we are advancing our strategy to optimize the Jamaica platform while pursuing new infrastructure opportunities across the Caribbean. With Jamaica integration complete and the Iraq project progressing as planned, our focus now turns to executing the next set of defined initiatives to extend our earnings growth trajectory. First, we expect the Express FSRU to be redelivered at the expiration of its current contract late in Q3. We have high confidence in redeploying the asset and improved economic terms over the prior contract. This should support incremental EBITDA uplift in 2027. Second, we are moving forward with plans for an FSRU conversion. Under our current planning assumptions, the converted FSRU will be available for commercial deployment in early 2028. Negotiations of the final contracts related to the conversion are ongoing, which is why this project is not yet included in our committed growth capital guidance. We're going to provide more detail once the necessary commercial agreements are finalized. Finally, future growth will be driven by a set of scalable LNG regasification solutions that we know how to execute. These include integrated onshore terminals, floating storage units paired with onshore regasification and small-scale and modular configurations. Together, these solutions provide a disciplined and repeatable way to deploy capital and scale our global asset portfolio. With that, I'll turn the call over to Dana to walk through the financial results in more detail.
Dana Armstrong: Thanks, Steven, and good morning, everyone. As Steven outlined, 2025 was a year of exceptional performance for Excelerate Energy. For the full year, we delivered record adjusted EBITDA of $449 million at the high end of our guidance range and an increase of over $100 million or up about 30% compared to the prior year. The growth was primarily due to the contribution from the Jamaica acquisition, which we closed in May 2025 and increased LNG gas and power sales opportunities. Inclusive of Jamaica, we reported adjusted net income of $199 million, an increase of $46 million or up over 30% year-over-year. Adjusted net income increased due to the items noted previously, partially offset by higher interest expense related to our 2030 notes. Turning to the fourth quarter. We delivered $40 million of adjusted net income and $113 million of adjusted EBITDA, both in line with our expectations. Results decreased sequentially from the third quarter primarily due to a full Atlantic Basin cargo delivery in the third quarter compared to a partial delivery in the fourth quarter, along with increased business development expenses and modestly lower LNG gas and power direct margins in Jamaica following Hurricane Melissa. For the full year, maintenance CapEx was $57 million and committed growth capital was $106 million, including $10 million of growth capital invested in the Iraq project in the fourth quarter of last year. Now let's turn to the balance sheet. We ended the year with a strong balance sheet supported by robust cash flow generation and disciplined capital allocation. As of December 31, 2025, total debt, including finance leases, was $1.3 billion with $538 million of cash and cash equivalents on hand. The full $500 million of capacity under our revolving credit facility was available as of December 31. Net debt was $730 million and trailing net leverage was 1.6x. Last week, the Board approved a quarterly dividend of $0.08 per share or $0.32 per share annualized payable on March 26, 2026. As previously communicated, Excelerate is targeting a low double-digit annual dividend growth rate commencing in 2026 and continuing through 2028. We expect the next dividend increase to be approved in the second half of this year. In December 2025, our Board authorized a $75 million share repurchase program. With this authorization, we have the flexibility to repurchase shares in a disciplined manner, balancing shareholder returns with continued investment in our growth priorities. For the full year 2026, we expect adjusted EBITDA to range between $515 million and $545 million. This outlook reflects continued performance of our contracted FSRU portfolio, a full year of contribution from Jamaica, a partial year contribution from Iraq and incremental uplift from the back-to-back QatarEnergy and Petrobangla LNG supply agreements. In 2026, we expect maintenance CapEx to range between $100 million to $110 million. The year-over-year increase in maintenance CapEx is driven mostly by the timing of dry docks. The Express and Exquisite FSRUs are both expected to undergo dry docks during 2026. Under current planning assumptions, the Exquisite is expected to go to dry dock in the second quarter, and our newbuild Hull 3407 will be utilized to substitute for the Exquisite. This will ensure continued operations at the Engro terminal in Pakistan. The Express is expected to go to dry dock early in the fourth quarter. In addition, the dry dock for our vessel to Explorer, which commenced late last year, concluded in the first quarter of this year. The associated first quarter maintenance CapEx for the Explorer dry dock is included in our maintenance CapEx guidance range for 2026. Additionally, our maintenance CapEx range includes long lead time equipment for a dry dock that we anticipate to occur in early 2027. Beyond dry docks, our maintenance CapEx guidance range includes additional strategic spares and other equipment as well as capital spend for expected overhauls and upgrades across the broader asset portfolio. This investment in other non-dry dock-related maintenance capital is part of a deliberate multiyear initiative focused on maintaining high levels of asset reliability, which supports predictable cash generation across the platform. Turning to committed growth capital. We expect that to range between $370 million and $400 million. This range includes roughly $220 million remaining to be paid for Hull 3407, along with an expected $140 million to $170 million for the integrated terminal project in Iraq and another $10 million of additional growth capital for other committed growth projects. This capital positions us to take advantage of the significant wave of LNG supply coming online over the next few years, ensuring that the proper infrastructure is in place to convert that supply into reliable power and gas for end users. In summary, we believe our guidance and capital plans appropriately balance growth, returns and financial discipline while preserving flexibility as we execute on our strategic priorities. With that, we'll now open up the call for questions.
Operator: [Operator Instructions] Our first question for today comes from Eli Jossen of JPMorgan.
Elias Jossen: I wanted to start on the organic growth across the business more broadly. As we look past Iraq in service this summer, can you help frame what we're most likely to see next from a capital sanctioning perspective and whether that's Jamaica expansions, more integrated deals like we've seen in Iraq, LNG conversions? And then more broadly, can we kind of step back and think about what the EBITDA run rate and growth of this business is headed towards as we look ahead a few years?
Steven Kobos: Eli, this is Steven. I don't know if we'll need any more questions after that one, man. That covers the gamut. I'll take a stab. In terms of -- let me take a step back first. We've talked about the LNG wave that's coming to market. Your question has to be viewed in the context of what's coming. And what is coming is that the focus of the entire LNG industry is shifting in the time period that you're talking about from liquefaction to regasification. So you're basically saying where -- with the focus moving to regasification, where are our priorities. And so I've often said it's like asking someone -- a parent which child they love most, like we love all of these. Each one has something unique where they can benefit from this changing dynamic from the wave. I just got back a few weeks ago from India, got to sit with Prime Minister Modi. He was adamant that India is going to move to 15% nat gas consumption by 2030. That's huge. Now they're only at 6% right now of the energy mix for 1.4 billion people. Love that. going to keep focusing there. There are a lot of opportunities South and Southeast Asia in general. But as you've seen with Iraq, they can come up everywhere. They have different market dynamics. What's interesting about Iraq, they just don't have enough nat gas. They were running a massive shortfall and then Iran quit exporting anything. They went from 0.8 Bcf to 0 last summer. They desperately need that project, our project to come online for us to help satisfy an absurd deficit. So that's a unique one. If you think about the past -- since we're talking macro, if you think about the past 4 years of global energy, what's the main lesson? In my mind, the main lesson is cross-border pipelines aren't reliable -- for all kinds of reasons. It could be about the neighbor. It could be about the risk of interference, all kinds of reasons. LNG is a gift to the world. It's a blessing. It allows someone to diversify their supply from a neighbor who they may or may not get along with to the world. Everyone is going to move to that. I mean, thank you for the question because you can see why we're so bullish that Excelerate is the right company at the right moment in time to go after this. What do we expect? I think you've got the building blocks out there for where we have high confidence on EBITDA in 2027. You know we don't guide to it, but we've -- and Dana can speak to that further, but I think the building blocks are there, and it's easy to piece together where we see EBITDA going to in '27. We're telling you we're going to add additional assets. I will say we've seen with Iraq that an integrated deal rewards infrastructure companies like Excelerate who have taken the time and have planned in advance to be able to offer LNG together with infra and link them together. So that is the preferred method moving forward. But we are not hidebound. We believe in selling to a customer what a customer wants to buy. We don't want to say we know more than a customer. We know more about a market that they've lived in forever. So we will continue to be eager to sell the infrastructure products and to build them together with LNG or not as a particular market may think best for themselves. I do think this TAM is global. So don't be surprised if we pop up, I don't know, in LatAm, again, in Middle East or elsewhere, but the focus -- I would say the focus continues to be South and Southeast Asia.
Dana Armstrong: And just to add to the building blocks, Eli. So as Steven said, we don't provide multiyear guidance, but I think Steven summarized it really well that you'll have a full year of a rock in 2027. We've spoken to that being about a 5x multiple, so you can do the math there. We previously spoke to Jamaica, which we expect to grow, as we said previously, between $80 million to $110 million on top of the base business over the next 5 years. We obviously have the Petrobangla QE coming online in '26. That's an incremental $15 million for 2 years then going to $18 million. And then now with Express, we expect to get on a new contract in 2027, adding uplift to our margins. So I think you can kind of get to a range for the next few years with those building blocks.
Elias Jossen: That's great color. I really appreciate it. But then maybe just pivoting more specifically to the Iraq LNG project. We're seeing some global instability in the region, which seemingly increases the importance of the project. Can you speak to project expansions -- and then maybe just a bit more color on the CapEx revision we saw. I know you touched on in your opening remarks, but just any other color you can provide.
Steven Kobos: I think all eyes are on the region. And there's nothing new there, Eli. I mean, all eyes are always on the region. It's one of the reasons why we've known this project was critical. It's just crazy. Iraq, they've got 8 hours to 12 hours of grid electricity in summer. I mean just think about that for a second. I mean imagine if Houston had 8 hours to 12 hours of grid electricity in the summer. It's absurd. It is a massive need. And when you -- Iran was delivering 800 million scf a day of nat gas, and they still were at 8 hours to 12 hours of grid electricity in summer. In terms of a first year market, I cannot imagine the profile of a first year market. We want that Iranian those deliveries were sometimes 50% of their gas needs. So it's hard to go find any market around the world that has a more critical urgent need for LNG. It's why we're moving so quickly. Like frankly, it's -- I'm thinking -- we're thinking long term, we think this can be far more than 5 years, but we're conservative in how we talk to you all. Contract says 5 years, we're talking about 5 years. Contract says a minimum take-or-pay of 250 million scf of gas. So that's what we're talking to you all about. But you should really be taking seriously the contractual upside that exists in that project because the fundamentals they're just -- they're robust. They're the strongest I can imagine for LNG demand globally. That's that component. CapEx number, not to minimize the complexity of any project, but I mean, come on, this is steel piles in concrete. So what you saw in general was just some change in scope after we got into the weeds on the geotechnical, geophysical core samples, all that stuff. But more than that, you saw some horse trading commercially with the Iraqis where we took on some CapEx scope, they gave on some OpEx scope. I don't want to get into the weeds. I think the punchline for that is we're comfortable with the 5x build multiple that Dana and I both mentioned in the remarks. So I think something we're excited about. I think it's something where we can make a difference in the world. And energy security is what it's all about, and there's no better example for that than Iraq. But energy security is important to everyone. When I was in India, Energy Minister Singh Puri said in his opening remarks at an event he said, we view energy security as being survival. That's what it's about to ensure that you have energy for your economy. It's about survival. And regasification, reliable access to regasification is about providing countries with survival. I know that sounds a little over the top, but we believe it.
Operator: Our next question comes from Theresa Chen of Barclays.
Theresa Chen: Maybe turning to Jamaica for a second. With the assets fully integrated at this point, can you elaborate on the near-term optimization opportunities and the additional growth options as well? From here, what do you think is realistic over the course of the next 12 months to a couple of years? Which infrastructure opportunities do you think are the most compelling?
Steven Kobos: Theresa, I'll start off there, and then I'm going to let Oliver weigh in. But thank you. Mic drop moment, integration went flawlessly and was over by Q4. And we managed Hurricane Melissa perfectly. And I forgot there's a quote in the Economist. I don't know if it says it's like the high sustained winds of any hurricane, I don't know, since the old testament or something, that's how I read it. You might look at it and see what it said. But no small thing. And frankly, the Jamaican Prime Minister told me, this has been a proof point of the reliability for thermal power and the sort of floating assets that can avoid harm in terms of resiliency. So I love it. In general, I don't think we're going to come off of the multiyear guide -- I mean we're not going to come off of, but I don't think we're going to provide a different guidance than the multiyear guidance that we have out there for the Caribbean. If you're connecting bread crumbs, you can start to see we're thinking about deploying the same sort of hub-and-spoke smaller scale models in other parts of the world. But I'll let Oliver take it from there, please.
Oliver Simpson: So the -- from our perspective in Jamaica, obviously, when we bought these assets, we talked about it, we bought a platform in Jamaica in the region. So I think in Jamaica itself, we have opportunities near term using the existing infrastructure, the existing assets to deliver more LNG to customers. And we've had some success there on the small scale, and we're continuing to look at those solutions. I think on the back of Hurricane Melissa, I think the proof point on the island was the infrastructure we had came out to be extremely resilient. And I think that's going to be a great selling point as we look at new customers on the island. Sor of longer term, a little further out, there are some bigger sort of bigger asset plays, capital plays, both in Jamaica and in the broader Caribbean that we continue to look at. Obviously, that's using the platform in Jamaica as the sort of hub and then those kind of become the spokes. And we've got a number of conversations in the region that are going well and that we expect to progress. Obviously, those will be coming on in '27 and beyond. So I think that is how I would think about it sort of extreme near term is really using the assets in Jamaica. And then next year and beyond is looking at other assets across the Caribbean.
Theresa Chen: Happy to know, Steven, that your success in Jamaica is officially a biblical proportion.
Operator: Our next question comes from Michael Scialla from Stephens.
Michael Scialla: I wanted to see if you could help with the cadence of the capital spend this year. It seems like it's going to be first half weighted. Just want to see if you could provide any information on that.
Dana Armstrong: Michael, yes, that would be a good assumption that it's first half weighted because we broke out how much of that was Iraq and we said $140 million to $170 million of that spend is Iraq. So that will be first half weighted as we do expect to go into service in the third quarter. The maintenance CapEx, we said on the call would be -- it's going to be in the second quarter for the Exquisite and then the fourth quarter for the Express. And then the new build is in the second quarter. So most of that growth capital, a good chunk of that will be in the first half of the year.
Michael Scialla: Got it. And then, Steven, I wanted to see if you could expand at all on the conversations you had in India. It looks like you signed a JV there. And how should we think about that? Is it a longer-term project kind of beyond this 3-year window where you've got a lot of projects coming together? Or could it fit into the next 3 years?
Steven Kobos: Mike, I would -- I mean, it could definitely fit within -- I'm sorry, I'm not pointed at my microphone, Mike. I think it could fit within '28 for sure. In terms of how to think about it, though, I think I would think about it that Excelerate does what we say we will do. We've been talking about the markets that we're interested in for some time. Sometimes there are announcements in those markets, sometimes they're not. It is not a question of whether we are looking for the right opportunities. I do think starting off somewhat smaller scale in India is the right move for us. We want to be in India. There's no doubt about it. I had a great roundtable with Prime Minister Modi, energy CEOs, and I was the only American there. We definitely want to be there. But it's all about getting into the market. That one is called Haldia. It's just south of Calcutta. Pipe is being built out. India is such an enormous market, just the pipe that's going to what they call the 7 sisters provinces north of Haldia, it's 40 million people alone. There are lots of little pockets of demand in India. So what I'd like you to think about, Michael, is that it's our first foray into India, but it won't be our last one. And sometimes when you don't hear what we're up to in the market, we're still working it. And more to come on Haldia.
Operator: Our next question comes from Chris Robertson of Deutsche Bank.
Christopher Robertson: Just a quick question on the Exquisite. I guess what are your expectations around the redeployment at this point? Do you expect that asset will roll with the same counterparty at the improved terms? Or are there some interesting inbound inquiries from other potential counterparties at this point? And are you seeing any inbounds from any particular region or country?
Steven Kobos: Chris, first of all, I think you're speaking to the Express, and that's our fault for horrible naming conventions where they all sound… no, no, they all sound like they've got the same name, and I do it every single day. In terms of Express, what I would say is past 4 years, we've recontracted 4 of our, what I'll term legacy contract assets, and they've all been at uplift to EBITDA. Absolutely confident this will be the same. We are in discussions around the world about it. But again, it's kind of running a sense of what's most appealing to us in terms of start time, duration of contract, EBITDA uplift, can you integrate? Can you not? So we'll evaluate all those factors and get back to you when the time is right. But what I'd leave you with is we're going to do what we've done before. And many of you all, many of the investor meetings, many of the analyst calls in the past 4 years have been about when can you get your hands on the evergreen contracts. And the reason you all have those questions is you know we can get better uplift, and we're going to.
Christopher Robertson: Thank you, Steven. Apologies again for the misstatement there. Moving towards -- just if you could provide some commentary about your greater opportunities here. We've talked about regasification infrastructure quite a bit and integrated project as it relates to the LNG supply. But how are you guys thinking at this point now that Jamaica is integrated, you're running power assets there. What are the opportunities looking like on the power side of things in terms of gas turbines, natural gas power plants and how are you thinking about that in terms of an integrated approach?
Steven Kobos: I think we're thinking about it the same way many people up to IOCs are thinking about it. If it's going to give you an advantage in terms of pull-through demand, contract duration, all kinds of things, then yes, we're going to evaluate it. We're going to continue to evaluate it. And we are in a better position to sell that because we offer that. We operate that. So we do find ourselves in a better position there. Just as when we got our first LNG positions in our portfolio, it allowed us to credibly offer integrated products there as well. So I can't say when, but it's all about pull-through demand in the rest of the world, and we can happy to get into the growth in air conditioning expected in the Global South. That's going to triple by 2050 up to, I don't know, some crazy number of units, I think 5.6 billion units. Like there's -- when you talk about LNG, you talk about the total addressable market, you talk about the Global South. power is ultimately what's going to drive that. So if it's the right pull-through demand with the right economics, we will absolutely do it.
Christopher Robertson: All right. Great. Glad to hear there's a lot of options out there and potential growth.
Operator: Our next question comes from Bobby Brooks of Northland Capital Markets.
Robert Brooks: I wanted to touch on the maintenance CapEx. You had mentioned that this a part of kind of a multiyear plan sort of enhancing the asset portfolio and ensuring the highest level of -- continuing to ensure the highest level of uptime. I was just curious to hear what some of those vessels might look like or the enhancements? And are those going to be able to uplift kind of current EBITDA generation off the current assets at their contracted rates today? Or is it something that once it's up for recontracting, then you can get a better price?
Steven Kobos: Bobby, I'm going to hand it to David, but I'd like to have Mike drop when we can. as I said in my remarks, operational reliability, reliability isn't an operational measure, it's a financial one. And that 99.9% uptime, it's not an accident. You don't trip and fall and get to 99.9%. You plan to do it. We love this asset class, and we're going to do what we need to do to make sure it's reliable for the long haul. But it's not -- you shouldn't view this as run rate. specifics, but we expect this to scale down by '28 for sure. I mean, the program, the longevity programs. But David, any color without giving away the family secrets.
David Liner: Yes. A fantastic portfolio of assets, whether it's the fleet, the power generation, the terminals, the small scale, all that, we've got to maintain at a level that we can perform similarly as '24, '25, and we're going to do it in '26 at 99.9% reliability. To do that, we have to -- and we're constantly studying any areas where we may have vulnerability to a single point of failure or some piece of equipment that if it goes down, will have an outsized impact on our reliability. We're constantly looking at those items, and we have a focused initiative in '26 and '27, where we're replenishing and making sure that for any of those pieces of equipment, we've got 1, 2 or 3 on the beach or on board ready to deploy at a moment's notice. It's usually larger pieces of kit. Sometimes it's smaller pieces of equipment. But yes, we want to make sure we've got a full warehouse to maintain that level of performance going forward.
Robert Brooks: Awesome. That makes a lot of sense. And I always love a mic drop moment for you, Steven. And then I wanted to kind of shift gears a little bit and a pretty about $4.7 million step-up sequentially in SG&A in the fourth quarter and kind of above the range that you guys have been doing in the past 7. Just wanted to hear a little bit about what drove that. Maybe it was just as simple as one-off onetime bonuses from the record year in '25. And if you could provide any color on how to be thinking about that on a run rate basis going forward, it would be appreciated.
Dana Armstrong: Bobby, it's Dana. So yes, good question. If you look at our Q4 over Q3, there was 2 -- really 2 items that drove that. The first was the Hurricane Melissa impact. We had -- all in, we had an EBITDA impact in Q4 of about $6 million. Of that $6 million, about $2 million of that hit our SG&A. And what rolled into the SG&A was our CSR efforts. So we said we spent over $1 million on CSR to support the island. There were some employee assistance, a much smaller amount. and then some other miscellaneous costs related to the Hurricane Ian, that was about $2 million. So that was definitely an anomaly. And then also in SG&A, as you know, we report our business development spend in SG&A. And so for the fourth quarter compared to the third quarter, that was up about $2 million. About half of that increase was a rock. So those were just costs to get ready for the project that we were not able to capitalize yet and then some other business development growth initiatives. And the rest of it was just miscellaneous year-end cleanup. So it's certainly not a run rate. It's more of a -- we do see a little bit of lumpiness in the SG&A number, mostly driven by business development.
Operator: Our next question comes from Emma Schwartz of Jefferies.
Emma Schwartz: I wanted to ask on the -- so the growth potential of the platform is really impressive. And I wanted to ask on accelerate leaning in further. Could you look to acquire another LNG conversion candidate in 2026? And is there anything preventing you guys from developing multiple FSRUs at the same time? It doesn't seem like leverage is a constraint here. So I just wanted to ask about leaning in further?
Steven Kobos: I almost called the conversion in the remarks. I almost named it conversion #1 to try to hint at that. But we will -- we're not going to wait until delivery of conversion # 1 in '28 to get started. So I mean, we do understand that we're -- the next 5 years are an incredibly important moment in time. There is an enormous TAM out there, and we're going to be acting to give us -- to continue this growth trajectory. So I'd like to get back to you after we've got a little more color on this first conversion that we've announced, but it's certainly not the end of it. So look at Express, look at uplift for that, look at the fact that we'll deploy this first conversion in early '28. I'm sure that we'll say consistent things with what we've said before. We look for build multiples of 5 to 7, just like other quality midstream companies. And I doubt that we'll say anything different about conversion number one. And then I hope in the course of this year that we'll be talking about more.
Emma Schwartz: Sounds good. My second question is, I want to ask on the small-scale like solutions. What are the like build multiples or returns for these kind of projects? And is this something that you would develop your -- like internally, the capabilities to deliver? Or is M&A an option to scale up this side of the business?
Steven Kobos: We never put a blindfold on. We're always looking for the best way to skin a cat. But it's not complex things, but the closer you get downstream, you should look for better returns. I mean that's -- and we don't mind it. It's like I like the fact that we have trucks. I want to have trucks in other markets, too. I mean it's not going to be huge volumes. But by definition, the closer you get of that last mile and get to that last quarter mile and get to that last 100 meters, yes, you should have higher returns associated with small scale. Otherwise, frankly, it wouldn't be worth the candle. It is worth the candle.
Operator: Our next question comes from Zack Van Everen of TPH.
Zackery Van Everen: Maybe starting on Iraq. Curious if you could swap the Express with the new build just based on the send out of that ship? And what upside opportunity could that provide placing the new build elsewhere?
Steven Kobos: Zack, I'll take that one. I don't want to. That was a conscious decision to put 3407 into Iraq. That's about staying there in the best regasification project that I'm aware of and staying in there for a long haul and being part of that. And knowing that it can go north of 500, that's a contractual limitation. It's not a limitation on uptake from that pipe that the Iraqis laid that 40-kilometer pipe they laid. It's not a limitation from what we're going to build. And we want to do more over the long haul, and we want to be as sticky as we possibly are, and that's about offering the Iraqis something better than anyone else on earth would. So it is a very conscious decision on our part to do it. It's part of the long-term plan. But you raised a good point. It sounds like you should be in the BD group kicking around optionality because we've had that discussion over the past year. But I can share with you what our landing point is.
Zackery Van Everen: Got it. No, that's super helpful context, and I appreciate that. Maybe one more on Iraq. You guys historically have talked about new EBITDA from the FSRU. Could you maybe break out the split of that 5x multiple between the terminal, the ship and the supply deal, just what maybe percent from each of those contributions for the project?
Dana Armstrong: Yes, that's an integrated deal. So that's not something that we're going to talk about on a split basis. We expected to report it. We expect to report all of it in the LNG, gas and power part of our business, and we expect to report on that on a combined basis. So that's not something we intend to split out.
Operator: Our next question comes from Wade Suki of Capital One.
Wade Suki: Just I think just to dovetail, I think it was off of Emma's question earlier, might push a little bit for a little clarity around that conversion. If I heard you correctly, and please correct me if I'm wrong, it may or may not at least the FSRU conversion may or may not be the Shenandoah, it could be another vessel. Am I reading between the lines here? Or am I just off base if you can.
Steven Kobos: Yes. That wasn't what I intended to convey with the lines, but we're never going to be hide bound. We could certainly be doing an FSU concurrently. I tried to say that. It just depends about what of our commercial deals get the most traction and look appealing to us quickly. But Shenandoah is top of mind, but we're going to be bringing a multitude of assets to the forefront because that's what this future point in the LNG industry is going to require. It's going to be a lot of -- not everything -- I mean, Iraq can easily scale to 4 million tons a year. You can figure that out. But there are going to be a lot of 0.5 million to 2.0 million ton deals around the world, and it's going to -- it's not going to be a one size fits all asset that's deployed for it. And we're not going to rule ourselves. We're not going to be hidebound and keep ourselves out of any of those opportunities. So I mean, just don't take anything I'm saying is limiting what we're willing to pursue. I'm trying to convey that from best-in-class FSRUs like 3407 down to trucks, we want to get LNG to people around the world.
Wade Suki: Understood. And I guess next question might be on potential new build, kind of where that is in your priority considerations, potential specifications, maybe not something as robust as Hull 3407. Just kind of curious what your thoughts are there as you look at all the opportunities and potential growth avenues for you.
Steven Kobos: I don't think sincerely doubt way that 3407 is the last new build. There are a lot of reasons for that. I love what -- we've built up specifications over 20 years. We love being able to control that to that degree. But it's all going to be about what we think particular markets that we're pursuing need. I think in general, you can assume that new buildings, we love them when we think there is ultimately a chance for an enhanced send out. And another thing about new builds, too, like with an integrated deal, you care about boil-off. So you want to make sure you've got great, great tank. That was the other thing I didn't mention with one of the earlier questions like I-3407 into Iraq. I mentioned the sticky nature of it. I didn't mention that it's got fantastic natural boil-off from its tanks. That's our LNG. We care about that. I mean it's going to be adding value for us over the life of that project. So there are a lot of considerations there that factor into it. But as I said, I expect us to use all the tools at our disposal over the coming 5 years.
Wade Suki: Understood. And just one last one, if I could, just with clarity just to make sure I heard you correctly. Did I hear you say that the new build could be used temporarily fill in for the Exquisite? Did I hear that correctly in the second quarter? Or did I mishear it?
Steven Kobos: Yes. No, you've got very good hearing, Wade. You've got very good hearing. Yes. And for 2 reasons. One, we care about our customers. We want to make sure if our customer wants something during a dry dock, we're going to try to move heaven and earth to accommodate them, first point. Second point is I have high, high confidence in 3407. It's been a pleasure to see it go through sea trials coming up on gas trials. It's always nice to finally flow gas, though. It's nice to regasify before you start up. So you're not messing around with commissioning your regas system at the same time you're bringing a terminal online. So we will both fulfill our customers' desires and needs. And at the same time, it will allow us to commission the regas plant before she arrives and Iraq. So kind of a win-win.
Operator: Thank you. At this time, we currently have no further questions. So I'll hand back to CEO, Steven Kobos, for any further remarks.
Steven Kobos: Thanks, everyone, for joining us today. I would reiterate one thing I said on the call. The focus of the LNG industry moving forward is regasification, not liquefaction. Excelerate is the prime driver of that, and we look forward to continuing our discussion throughout the year. Thank you.
Operator: Thank you all for joining today's call. You may now disconnect your lines.